Operator: Good morning, everyone, and welcome to BBVA Argentina's First Quarter 2025 Results Conference Call. Today with us are Mr. Diego Cesarini, Head of ALM and Investor Relations; Mrs. Belén Fourcade, Investor Relations Manager; and Mrs. Carmen Morillo Arroyo, CFO, who will be available for the Q&A session. This presentation and the first quarter 2025 earnings release are available on BBVA's Investor Relations website, ir.bbva.com.ar and will also be available for download in the chat. First of all, let me point out that some of the statements made during this conference call may be forward-looking statements within the meaning of the safe harbor provisions found in Section 27A of the Securities Act of 1933 under US federal securities law. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. Additional information concerning these factors is contained in BBVA Argentina's annual report on Form 20-F for the fiscal year 2024 filed with the US Securities and Exchange Commission. During the company's presentation, all microphones will be disabled. At that time, we are going to open it up for questions and answers. [Operator Instructions] I will now turn the call over to Mrs. Belén Fourcade. Please go ahead.
Belén Fourcade: Good morning, and thank you all for joining us today. The notable fiscal consolidation, monetary stringency and relative exchange rate stability have contributed to a moderation process of inflation throughout 2024, which has continued at the beginning of 2025. Likewise, there are increasing signs of recovery in economic activity which after falling 1.7% in 2024 would expand by around 5.5% in 2025 according to BBVA Research. The prospects for inflation reduction have strengthened and the forecast is that it will converge to around 35% by the end of 2025. Recently, within the framework of a new agreement with the International Monetary Fund, the lifting of a large part of the exchange controls and the implementation of a floating exchange rate scheme with wide bands were announced, which could contribute to the macroeconomic normalization process. Regarding the external environment, although the direct impact of US tariffs could be relatively limited, the economy could be affected by a less favorable global context. Before moving on to this quarter's business dynamics and results, I would like to comment on the new global strategy of the BBVA Group for the 2025-2029 cycle. This has been launched, arising from an institutional reflection after the closing of the 2020-2024 strategic plan, which was successful in terms of growth and profitability. This redesign responds to a new global context characterized by macroeconomic stabilization, geopolitical transformation, and population aging, which poses challenges and opportunities in credit and deposit management. In this context, the strategic priorities for 2025-2029 are focused on three main pillars: one, a radical customer-centric perspective; two, value and capital generation, and growth in a changing environment; and three, leveraging accelerators such as artificial intelligence for efficient data processing. These priorities are articulated with an evolution in cultural values towards behaviors with greater empathy and demand, and a renewed purpose; support your desire to go further, which reinforces the active role of the customer as the central character of growth. Now, moving on to business dynamics. As you can see on Slide 4 of our webcast presentation, our service offering has evolved in such a way that by the end of March 2025, new customer acquisition through digital channels reached 86% versus 81% a year ago. Retail digital sales measured in units reached 93% in the first quarter of 2025 and represent 86% of the bank's total sales measured in monetary value. Digitalization, which was previously a competitive advantage, has now become a market standard, while new unregulated players and disruptive technologies such as artificial intelligence demand a redefinition of the differential value of the company's proposition. Moving on to Slide 5 and 6, I will now comment on the bank's first quarter 2025 financial results. BBVA Argentina's inflation adjusted net income in the first quarter of 2025 was ARS81.6 billion, increasing 16.2% quarter over quarter. This implied a quarterly ROE of 11.5% and a quarterly ROA of 2%. The 56.9% increase in quarterly operating results was explained by higher income and lower operating expenses. Higher income was mainly due to: one, a substantial improvement in income from fees; and two, better net interest income. On the side of expenses, there was an improvement in all expense lines, in particular benefits to personnel and other operating income. It should be noted that the income tax line in the fourth quarter of 2024 reflects a positive result, derived from a change in accounting exposure that implied a reclassification of the income tax calculation from other comprehensive income to the income statement. Net income from the net monetary position was 10.7% lower quarter over quarter, thanks to a lower net monetary position, which offset the increase in quarterly inflation which was 8.57% versus 8.03% in the fourth quarter of 2024. Turning into the P&L lines in Slide 6, net interest income was ARS541.3 billion, increasing 3.3% quarter-over-quarter. In the first quarter of 2025, net interest income decreased less than interest expenses in monetary terms. The former decreased due to lower income from public securities, especially CPI-linked bonds. Expenses decreased due to lower time deposit expenses, mainly due to lower rates and interest-bearing checking account expenses as the rates on these products have also declined. Interest from time deposits explained 74.4% of interest expenses, versus 67.9% the previous quarter. Net income as of the first quarter of 2025 totaled ARS99.8 billion, increasing 48.3% quarter-over-quarter. Fee income totaled ARS180.1 billion, increasing 20.7% quarter-over-quarter. Higher income is mainly explained by credit card fees, considering a revision of provisions linked to the Millas BBVA loyalty program. It is important to note the increase in fees linked to loans, fees from insurance and fees linked to loan commitments, the latter related to income from structuring of syndicated loans. On the side of fee expenses, these totaled ARS80.8 billion, decreasing 1.9% quarter-over-quarter. This is mainly explained by lower expenses on payroll promotion campaigns followed by lower expenses from foreign trade transactions. In the first quarter of 2025, loan loss allowances increased 4.9% explained by the real growth of the loan book in the quarter which implied higher provisioning. During the first quarter of 2025, total operating expenses were ARS423.8 billion, decreasing 13.8% quarter-over-quarter of which 29% were personnel benefit costs. Personnel benefits decreased 23% quarter-over-quarter. In spite of wages increasing in line with inflation, the fourth quarter of 2024 was highly impacted by severance expenses and the adjustment of provisions recorded for stock of vacation days and variable remuneration, which were not present in the first quarter of 2025, reducing overall expenses. Administrative expenses decreased 4.3% quarter-over-quarter. This is mainly explained by: one, taxes; two, software; and three, rent. Rent and software are related to expenses of software licenses and services contracted with the parent company. In the case of taxes, the fall is mainly explained by an accounting reclassification of taxes linked to the health and safety which as of this quarter are now recorded in the turnover tax line in other operating expenses pursuant to the nature of expense. The accumulated efficiency ratio as of the first quarter of 2025 was 56.3% below the 62.2% reported in the fourth quarter of 2024 and the 65.4% reported in the first quarter of 2024. The decrease in this ratio is due to a decrease in expenses, and an increase in income, especially fee income and lower result from the net monetary position. Private loans as of the first quarter of 2025 totaled ARS9.2 trillion, increasing 11.2% quarter-over-quarter. Loans to the private sector in pesos increased 8.3% in the first quarter of 2025. During the quarter, growth is observed in most lines, but was especially driven by: one, a 22.9% increase in consumer loans; followed by two, an 18.4% increase in overdrafts; and three, a 16.2% increase in other loans. A 23.1% growth in mortgages is to be noted considering the continuous progress in this product which was relaunched by mid-2024. In all cases, the increment is boosted by genuine growth in real terms of the portfolio levered on relative stability of market interest rates. Loans to the private sector denominated in foreign currency increased 25.4% quarter over quarter. Quarterly increase is mainly explained by a 21.4% growth in financing and pre-financing of exports and a 53.7% growth in other loans, the latter linked to financing of investment projects. During the quarter, the commercial portfolio grew 12.5% and the retail portfolio increased 9.5%. The commercial portfolio represents 57.1% of the total portfolio from 52.5% a year ago. In nominal terms, BBVA Argentina managed to increase the retail, commercial and total loan portfolio by 19%, 22% and 23% respectively during the quarter, surpassing quarterly inflation levels in all cases. As of the first quarter of 2025, the total gross loans and other financing over deposits ratio was 84.7% above the 77.5% recorded in the fourth quarter of 2024 and above the 55.9% in the first quarter of 2024. Participation of total loans over assets is 56% versus 51% in the fourth quarter of 2024 and 32% in the fourth quarter of 2024, evidencing a lower exposure to the public sector in line with the real growth of credit demand. BBVA Argentina's consolidated market share of private sector loans reached 11.28% as of the first quarter of 2025, improving from 10.10% a year ago and sustaining the two-digit figure. As of the first quarter of 2025, asset quality ratio keeps a good performance at 1.38% increasing quarter over quarter mainly due to seasonal arrears in credit cards. Commercial NPLs remained with a very good behavior. On the funding side as of the first quarter of 2025, total deposits reached ARS11 trillion increasing 1.8% quarter over quarter. The bank's consolidated market share of private deposits as of the first quarter of 2025 reached 9.15% compared to 7.37% a year ago. Private non-financial sector deposits in pesos totaled ARS7.4 trillion increasing 7.8% compared to the fourth quarter of 2024. The quarterly change is mainly affected by a 163.1% increase in investment accounts and a 2.5% increase in checking accounts, mainly explained by higher funding. Private non-financial sector deposits in foreign currency expressed in pesos increased 0.8% quarter over quarter. This is mainly explained by a 20.9% increase in time deposits partially offset by an 0.4% fall in saving accounts. BBVA Argentina continues to show strong solvency indicators on the first quarter of 2025. Capital ratio reached 21.5%. Capital excess of our regulatory requirement was ARS1.5 trillion or 161.3%. In spite of the genuine growth in the loan book which generated greater requirements, this effect was largely offset by a central bank regulation which changed operational risk requirements, now aligned to Basel IV regulations. These requirements fell considerably by 94.4%, improving the capital ratio by 202 basis points. The first quarter of 2025 total public sector exposure excluding Central Bank totaled ARS2.8 trillion, decreasing 2.9% quarter-over-quarter. The annual increase is mainly explained by a greater increment of public exposure to the treasury in detriment of Central Bank risk exposure. Exposure to the public sector excluding Central Bank exposure represents 17.1% of total assets below the 17.9% in the fourth quarter of 2024 in line with real loan growth demand. In the quarter, liquid assets were ARS5.4 trillion decreasing 13.3% quarter-over-quarter. This was mainly driven by a 20.1% decline in cash and deposits in banks and a 12.5% fall in public securities. As of the date of this report, the bank has announced the payment of dividends in cash or in kind. The total amount to be paid will be ARS89.4 billion expressed in homogeneous currency as of December 31st, 2024. And according to Central Bank regulations, it must be updated by inflation on the payment date. This concludes our prepared remarks. We will now take your questions. Operator, please open the line for questions.
Operator: Thank you. We are going to open it up for questions and answers. [Operator Instructions] Our first question comes from Brian Flores with Citi.
Brian Flores: Hi, team. Good morning. Thank you for the opportunity to ask questions. I have the first one is related to guidance, right? Because it seems that there were some moving pieces, as you mentioned the implementation of the regulation in March. It seems that real loan growth is actually running well ahead of perhaps very optimistic expectations. So from what we remember that you mentioned in the last quarter you were expecting to grow between 60%, 65% in real terms, deposits growing around 40% in real terms, they seem to be maybe growing a bit less. And with -- and I don't know if your expectation of ROE has changed a bit, but just wanted to hear from you, given the obviously very dynamic economic environment, if any of the guidance lines that I just mentioned is also changed also? And this is the second question, perhaps an extension of the first is on capital, right? Because you had a benefit above 200 bps due to the regulation. I just wanted to ask you if thinking about a 15% Tier 1 ratio by the end of the year that already incorporates this, let's say, benefit -- one-time benefit due to the regulation? Thank you.
Diego Cesarini: Yes. Hello, Brian, this is Diego Cesarini. I will address your questions. Well, to start with, regarding loans, we have revised a little downwards our provision. We think that we're thinking about growth in real terms of around 45% to 50% for the year, that is in line with our 11% growth in the first quarter. Regarding deposits, we are also revising downwards, we are seeing around 25% in real terms and we are still keeping our ROE guidance between the mid-teens to biased to low teens. And regarding capital, yes, it's true that we have -- our projection has been improved a little. We are now forecasting by December a ratio around -- between 16% and 16.5%. When we were talking about 15%, we had this operational risk improvement in our consideration. But, well, the improvement that we are showing right now is regarding the performance of loans which we are revising down to 45% to 50%.
Brian Flores: Thank you, Diego. Very clear. If I can make a follow up, so you're revising two lines in growth, right? Deposits and loans by double digits. So just wanted to -- if you could expand a bit on the rationale behind it, is it more on maybe lower risk appetite? Is it more on perhaps your internal expectations of lower dynamism in the economy? Just wanted to understand a bit more on the nature of the revision. Thank you.
Diego Cesarini: Our risk appetite hasn't changed. What we are seeing is that probably liquidity could be a little concerned this year as the government is keeping a very restrictive monetary policy. It's just that. We expect that policy to continue for some months. We have some excess of liquidity that we can still use, so we are not worried in the short term, probably for one or two quarters. We can keep growing even if deposits grow below loans. But then, of course, we are not certain when this policy will change. So, we are being a little more conservative on growth just for that.
Brian Flores: Okay, super clear. Thank you.
Diego Cesarini: Welcome.
Operator: Our next question comes from Pedro Leduc with Itau BBA.
Pedro Leduc: Hi, Belén, Diego, thank you very much for taking the question. Congratulations on the numbers. Okay, two quick ones. First on SG&A. We had a nice decline there in real terms year-over-year, Q-on-Q. If you can help us see through the remainder of the year, if this is a trend that's likely to continue. And then second, on your NIMs, they've been declining obviously, but declined a lot less this quarter than they had in the last months. So if you're already seeing the end of the transition in NIMs within your asset base? And maybe when can we expect this to start picking up again? Thank you.
Diego Cesarini: Hi, Pedro, this is Diego again. Well, I couldn't listen very well to your first question. Regarding your -- I will ask you to repeat. But regarding your second question, NIMs have fallen around 100 basis points this quarter comparing with fourth quarter of last year. If you consider those NIMs in both currency, they have fallen even less. We have some changes in the mix. Dollar activity is weighting a little more than the previous quarter. And also if you consider that, monetary policy rates have fallen around 600 basis points in average. We see that NIMs have not fallen so much. As we have said before, NIMs at the beginning of last year were abnormally high. They have normalized. You have to consider that part of these high NIMs have in account that we have inflation -- high inflation, rates are high because of inflation mainly. And for the rest of the year, we -- if we consider that inflation should keep going down, we should expect some decrease, some more decrease in NIMs. But the speed of that decrease will not be, of course, the same as last year. We are expecting some soft decrease in that -- in those figures.
Pedro Leduc: That's very clear. Thank you. And the first question was on SG&A, if we should continue to see the real term declines in overall SG&A this year?
Belén Fourcade: Hi, Pedro, sorry, could you repeat because we are not getting the first part.
Pedro Leduc: In regards to SG&A, so personnel and other admin expenses, if they should continue declining in real terms this year as we saw in the first quarter?
Belén Fourcade: You mean the improvement in expenses, you say administrative expenses.
Pedro Leduc: That's right.
Belén Fourcade: Okay, yeah. In benefits to the personnel, the main contrast has to do with severance costs that you had in the fourth quarter of 2024 and in 2024 overall, I mean you had a rotation of C-level employees, so that had a cost. And you're not going to see that during 2025. That was the main moving line. And in the case of administrative expenses, we had a reclassification in the line of taxes that has to do with taxes related to healthy -- health and safety. It's a specific tax here in Argentina. And because of the nature of that expense, we decided to [reclass] (ph) I mean, take it from that line onto other operating expenses in the line of turnover tax. So that was the main -- what moved the quarter in terms of expenses. Of course, this is a one shot in the sense that this reclassification will already be set for the next quarters. And then you had, you did have lower costs on the side of rent and software. That has to do mainly with payments to the parent company. But that has to do with lower provisions that we made on the FX exchange rate at which we value these costs.
Operator: Our next question comes from Carlos Gomez with HSBC.
Carlos Gomez: Hello. Thank you for taking my questions. First one refers to -- assuming the mix in the loan portfolio and the fact that you have been lending more in dollars, first, is that because there's more demand for dollars or there's actually more availability of funding for dollars? And what do you expect the dollar portfolio to be this year and next year? Will it continue to grow as a percentage of the total? Second, I don't think you have told us your economic assumptions. Can you remind us what you expect for inflation and for the currency for this year and next year? Thank you.
Diego Cesarini: Hello, Carlos, how are you? Well, regarding our mix of loans, well, as we said, we grew more in dollars. We grew 25% in the quarter in real terms and we grew just 8% in real terms in the peso activity. We have seen more demand in this currency in dollars. But for the coming months, what we have to think is that the financial system as a whole, and even our bank has some strong and conservative policies regarding this currency. We have faced some runoffs of deposits in the past that were very heavy. So, we are -- at the moment, we cannot expect the same speed of growth in dollar activity that we have seen in the first quarter. It will depend on funding. We are ready to see what the government is going to announce regarding dollars that could benefit our funding. We don't know. We have heard just rumors and they are just announcing this at this moment. But to make it short, we should not expect the same degree of growth in this currency. And regarding our economic assumptions, we are -- our research department right now is expecting a 5.5 GDP growth this year and 35% inflation.
Carlos Gomez: And the exchange rate?
Diego Cesarini: The exchange is a little below ARS1,400.
Carlos Gomez: For this year and for next year? I know nobody knows, but what do you have?
Diego Cesarini: Probably it will grow in line with inflation. It will be a little below ARS1,700.
Carlos Gomez: Thank you so much.
Diego Cesarini: You're welcome.
Operator: [Operator Instructions] Our next question comes from Jorge Mauro with Fundamenta. You can open your microphone.
Jorge Mauro: Hi. Yeah, my question is regarding the growth of credit by product. When you look at credit cards, it barely grew this quarter in real terms. So I just wanted to understand what's your view? I mean, do you think that there is potential for credit cards or because this is a product that has been mainstream for longer period of time? Historically, there is much less growth than in other products. How are you approaching that?
Diego Cesarini: Hi, Jorge. Well, you know that the financial system has been very small. It is still very small for many years and very based on transactions in the past. In that context, credit card was the product bank used to make contact with new customers. And people's decisions were also very short-term based. So that's where we mainly grew credit cards. Loans weighed around 40% or 45% of our balance sheet or loan base two or three years ago. And that is changing for good. People with stability, people are taking more long-term decisions. So, we are seeing more growth in consumer loans, car loans, mortgages. And so we are not -- we do not want to stop our growth on credit cards, but other products will grow more probably in the coming years. So that is our -- mainly our opinion on this subject.
Jorge Mauro: Okay. But do you think that credit cards still has potential or the level we have seen today is the great penetration of credit cards that Argentina may have? So very limited growth in a way.
Diego Cesarini: No, I think -- we think that they still have potential. But as I said before, mortgages come from scratch. They weigh nothing in bank's balance sheets. The same happens with other long term loans. So, they should grow more. Credit cards will still -- we think that they will still be growing above inflation, but not as much as the other lines. In the case of our bank, we are strong on credit cards. We have a market share that is above our average market share. So, we feel very comfortable with that level and probably we will keep that high market share in the future.
Jorge Mauro: Thank you very much.
Operator: Next question from Brian Flores with Citi.
Brian Flores: Hi, team, just a quick follow up on the last question. I think it's a very interesting point. So just wanted to understand, are you seeing on average the duration of your portfolio already increasing or is this something that should happen still? Just wanted to understand how quickly this could be happening or not? Thank you.
Diego Cesarini: Hi, Brian. Yes, we see that our duration is increasing mainly because of consumer loans. We have also grown last year and this year on SMEs, loans that have longer terms than we had in the past. In the past, the usual product for an SME was discount of checks, documents, very short term, 60 days, 90 days. And since mid-year of 2024, we have seen more demand on investing lines. So, yes, it's definitely -- the duration is growing. On average, we are still short. In our presentation, we have some figures, some charts regarding durations and you can see that most of our loans still are below one year tenure, but in the future, we can expect duration to go longer. We are also growing on mortgages, still very -- it doesn't represent an important part of our loan portfolio. But in the future, we could also expect that line to weigh more.
Brian Flores: Perfect. I'm sorry for the follow up here. But on the last point, do you think securitization or the ability to do securitization is I would say a requirement for us to see mortgages in your portfolio to really gain relevance or even for the system?
Diego Cesarini: Well, we think that you cannot keep this level of growth in mortgages in the long term if we do not have long term funding. Securitization is one alternative, but could also -- could have, as in other countries, some long-term bond market. We have that in Argentina, but it's still very shallow market with small volume, short terms. For example, you cannot issue a bond of more than a year and half or two years and volumes would still be very, very low. So yes, definitely we need some change in funding to keep this trend in mortgages. At this moment, we cannot be sure that that will happen. But if we think that Argentina is normalizing, our capital markets should also get more complex and some long term investors should be able to buy mortgages or to provide us with some long term funding. That is our expectation in the short term and midterm. We can still grow on these lines, but for the long term, we need some changes in our funding.
Brian Flores: Thank you. Thank you very much.
Operator: Please hold while we poll for questions. We are showing no further questions at this time. This concludes the question-and-answer section. I would now like to turn it over to BBVA's team for closing remarks.
Belén Fourcade: Well, thank you all for joining us today. And if you have any further questions, do not hesitate to reach out. Have a nice day. Have a nice week. Thank you.
Operator: This concludes the presentation. You may disconnect now, and have a nice day.